Operator: Good day and welcome to the Dow Chemical Company’s First Quarter 2015 Earnings Results Conference Call. Today’s call is being recorded. [Operator Instructions] I would like to turn the call over to Mr. Jack Broodo. Please go ahead, sir.
Jack Broodo: Good morning and welcome. I’m Jack Broodo, Vice President of Investor Relations. As usual, we are making this call available to investors and the media via webcast. This call is the property of the Dow Chemical Company. Any redistribution, retransmission or rebroadcast of this call in any form without Dow’s express written consent is strictly prohibited. On the call with me today are Andrew Liveris, Dow’s Chairman and Chief Executive Officer; Howard Ungerleider, Executive Vice President and Chief Financial Officer. At 7:00 AM this morning, April 23, our earnings release went out on business wire and was posted on the internet on dow.com. We have prepared slides to supplement our comments in this conference call. These slides are posted on our webcast and through the link to our website. Some of our comments today include statements about our expectations for the future. Those expectations involve risks and uncertainties. We cannot guarantee the accuracy of any forecast or estimates, and we don’t plan to update any forward-looking statements during the quarter. If you’d like more information on the risks involved with forward-looking statements, please see our SEC filings. In addition, some of our comments reference non-GAAP financial measures, a reconciliation to the most directly comparable GAAP financial measure and other associated disclosures are contained in our earnings release and on our website. Unless otherwise specified, all comparisons presented today will be on a year-over-year basis. Sales comparisons exclude divestitures and hydrocarbons and energy, EBITDA, EBITDA margins, return on capital, and earnings comparisons exclude certain items. On Slide 3, some of our comments may also contains statements about our announced agreement to separate a substantial portion of our chlor-alkali and downstream derivatives business and merger with a subsidiary of Olin Corporation. In connection with that transaction Dow and Olin will be filing with the SEC filing materials with the SEC that will contain important information and we advice you read them. These filings will be available free of charge from the SEC or Dow or Olin is applicable. The agenda for today’s call is on Slide 4. I will now turn the call over to Howard Ungerleider.
Howard Ungerleider: Thank you, Jack, and good morning, everyone. Turning to Slide 5, the first quarter of 2015 proved to be yet another strong quarter for Dow. Our results clearly demonstrate the consistency with which our strategic agenda and our focus on execution are driving higher and more predictable earnings. We remained firmly on our growth trajectory or fact that you can see across multiple fronts. This marks our 10th consecutive quarter of year-over-year operating EPS, EBITDA and margin growth. The strength of our portfolio enabled Dow to deliver operating earnings of $0.84 a share. Operating EBITDA was $2.4 billion, four out of our five operating segments delivered earnings growth in the quarter. Dow automotive systems achieved an all time EBITDA record and Dow electronic materials, our energy and water, our Polyurethanes and our packaging and specialty plastics businesses each achieved first quarter EBITDA records. EBITDA margins expanded to the highest levels since 2005 its up 284 basis point versus the year-ago period. Performance plastics, performance materials and chemicals, infrastructure solutions and consumer solutions all drove margin expansion in the quarter. Our results illustrate that we were focused and we executed. We delivered operating cash flow of $1.2 billion of first quarter record and up more than $660 million, we return $977 million to shareholders and declared dividends and repurchases, and we made further progress against our portfolio management targets most notably to the signing of the definitive agreement to divest our chlorine products bringing the total of our portfolio actions well above our stated targets. We’re proud of the performance that company delivered in the phase of 49% year-over-year drop in oil price combined with the 15% year-over-year euro headwinds. It’s clear that this not the commodity driven Dow Chemical from a decade ago. This business model successfully navigated the fast moving market dynamics with catalyst that will further propel our growth. I’ll provide an update on these in a moment. But first let’s take a closer look at our operating results in the quarter. Turning to Slide 6, revenue was $12.4 billion, the solid demand for Dow products across all geographic regions excluding divestitures with particular strength in our merging geography most notably China, which was up 10%. Volume increases were led by performance plastics up 6% and performance materials and chemicals and consumer solutions both up 5% despite 15% price declines at the company level, primarily due to significant oil in currency headwinds. Let’s turn to the segment highlights on Slide 8. Ag Sciences delivered sales of nearly $1.9 billion in EBITDA of $409 million. These results as expected reflected more normalized weather conditions in the first quarter versus last year. From a macro perspective crop protection sales trended with the industry across most regions except for Asia-Pacific, where we drove double-digit volume gains reflecting in part sales of a new rice herbicide, although pricing was down due to currency. We continue to gain traction from the launch of new products. In fact demand for new Dow Ag Sciences products was up 7%. In addition we received preliminary approval on the registration of our Enlist soybeans and corn in Brazil with final approval for commercialization pending. We also have secured approval for Enlist E3 in Argentina. Additionally, the EPA has approved Enlist Duo in nine additional key corn and soybean producing U.S. states and regulatory approvals are pending for Enlist cotton. We’re in the process of a stewarded introduction in the U.S. corn this year and expect the full commercial launch following approvals in China. We remained focused on delivering this key technology platform to serve the global farmer customer base and we’re working to bring it to market as soon as possible. In the near-term Greater China demand continues to drive growth. North America is currently operating with high levels of channel inventories, Latin America is facing some potential economic headwinds and Western Europe growth appears modestly positive with year-over-year weather comparisons normalizing in the second quarter. We remained confident in our technology and expect on our margins to improve. However, acreage and commodity prices continue to be a challenge. Turning to consumer solutions on Slide 9, this segment delivered record EBITDA based on the strength of differentiated products and Dow innovation. Double-digit sales gains were reported in North America with broad-based volume growth across all three businesses. Dow electronic materials led the way with the double-digit volume increased, followed by consumer care and Dow Automotive, sale gains were also reported in Latin America. Let me briefly cover the businesses. Automotive Systems delivered record EBITDA performance. The business is benefiting from auto industry trends toward lightweighting as well as a preference for larger premium vehicles driven in part by lower oil prices. These vehicles tend to feature both more and the higher margin Dow materials. As a result, we achieved margin expansion as key customers continue to increase adoption of our differentiated technologies such as our BETAMATE structural adhesives. Dow Electronic Materials EBITDA was also a new first quarter record, with margin expansion driven by product mix upgrades. The strength of our technologies in electronic sector was recognized by a number of key customer wins across the business. We also reported strong top line performance in semiconductor in both our CMP and litho markets. Notably MSI a key figure that we track for semiconductor growth is forecasted to be up nearly double GDP in 2015. In consumer care, food and pharma sales remained flat overall, but excluding the currency the business grew particularly in Dow pharma and food solutions, we saw expansion through sales of unique and differentiated products. Operating rates are running high in this segment, and we expect to continue to increase sales in the home and personal care sectors due to raising consumer demand and new customer applications. Looking ahead to the second quarter, we expect margin in this operating segment will improve on an increased consumer demand. Moving to infrastructure solutions on the Slide 10, where similar innovation driven performance is delivering solid EBITDA expansion. Sales were $1.8 billion and EBITDA grew 10% to $295 million. In energy and water solutions, we expect continued growth at 2 to 3 times the rate of GDP with strength in our water business offsetting weakness in North American energy markets. This can be seen in the double-digit demand growth in our reverse osmosis business in the quarter. Lower oil values coupled with the decline in the energy exploration and fracking from 2014 levels have impacted Dow microbial control. However, our expert consultancy model combined with our regulatory position in the oil and gas sectors is enabling us to grow share. And Dow building a construction our differentiated products has contributed to global margin expansion as well as growth outside the U.S. in new applications. North America continues to be the demand driver for this business. Dow coating materials reported volume growth driven by EMEAI and Asia-Pacific versus the prior year. These volume gains along with value-based pricing actions and improved raw material margins drove EBITDA growth in the quarter. Looking ahead we expect that the North America will lead global coatings growth due to an improving housing market. Performance Monomers continues to experience trough like conditions in the acrylates market, though we expect improvement in this business toward the second half of the year with more globally competitive U.S. propylene market pricing. From an equity earnings perspective results from Dow Chlorine was slightly up overcoming currency headwinds. But the infrastructure solutions segment we expect margins to remain flat sequentially as the building season ramps up in our new applications and technologies offset continued headwinds from acrylates. Turning to Slide 11, performance materials and chemicals reported sales of $3.2 billion and delivered EBITDA of $535 million excluding divestitures, which is up 4% versus last year and represent the fourth consecutive quarter of year-over-year EBITDA growth and margin expansion. Polyurethanes delivered a record first quarter EBITDA driven by a combination of volume gains and margin expansion as the business continues to make progress focusing on their defined markets as well as developing customer tailored solutions through our system house capabilities in the consumer comfort and energy efficiency sectors. Ongoing selfhelp productivity actions will also continue contributing to margin expansions in the coming quarters. Epoxy also continues to improve with double-digit volume growth particularly in differentiated product lines as well as the continued productivity focus. Industrial solutions reported margin expansion with improving demand toward the end of the quarter. EBITDA is up versus the same quarter last year on the core businesses though it was offset by lower equity earnings and the divestiture of both ANGUS and the Sodium Borohydride businesses. Overall we expect prices to stabilize in this operating segments and margins to reflect strengthening demand. Turning now to Slide 12, performance plastics reported sales of $4.3 billion down 11% verus the prior year excluding hydrocarbons and energy. EBITDA was $985 million up 2% in marking the 11th consecutive quarter of operating EBITDA growth and EBITDA margin expansion. Packaging and specialty plastics posted a record first quarter EBITDA performance driven by strong year-over-year volume growth across all geographies as well as in the hygiene and medical and food packaging sectors. Operating rates are running high in every geography. Elastomers delivered the highest EBITDA since 2012, and nearly 60% year-over-year increase results were particularly strong in the transportation sector. Volume also improved to our show-up actions in new consumer durable products. For example, INFUSE Olefin Block Copolymers set a volume record in part due to attraction in the high end footwear sector. Electrical and Telecommunications had a major turn around in the quarter which impacted volume comparisons demand continues to be healthy particularly in North America weakness was seen in EMEAI and Asia-Pacific due to very aggressive competitive pricing actions. At a segment level we expect prices to move up on strong demand for our high value products. Looking at Slide 13, let me briefly cover our modeling guidance. Let’s begin with the second quarter. We expect year-over-year demand growth in most businesses with pricing momentum building through the year. We expect raw material cost remains favorable year-over-year with stable natural gas, oil based cost may rise. Equity earnings will continue to be down year-over-year due primarily to Sadara cost as we ramp the first product later in the year. Cost will be $75 million to $100 million headwind year-over-year in the second quarter. After buying back $500 million in Dow stock in Q1 our buyback program is now restricted until the close of the Olin transaction which is anticipated by year-end. So we expect second quarter share count to remain flat with the first quarter. Turnaround costs were expected to be higher by $75 million to $100 million sequentially and relatively flat year-over-year. And for the full year 2015, we will continue to move forward on our productivity program with a goal of $300 million in savings expected ramping through the year. Pension expense is still expected to increase slightly more than a $100 million for the year, we expect the $400 million to $600 million impact on EBITDA due to currency. CapEx will be approximately $3.9 billion for the year and we still expect the tax rate in the 25% to 28% range. Next, I’d like to review progress against our key commitments on Slide 15. We’ve been transparent ensuring the actions, we’ve been proactively taking to further drive our enterprise into the premiere chemical materials and agricultural company that it is today. For example, late last year, we increased our divestiture target to $7 billion to $8.5 billion and then we expected to achieve that target by mid-2016. With the actions announced this quarter, we have now outperformed this target and expect considerations from divestiture actions to now exceed a $11 billion. This quarter, we have completed both the ANGUS and the Sodium Borohydride transactions. And of course, just a few weeks ago, we announced the most significant action in the series. Our transaction with Olin to divest the substantial portion of our chlorine value chain. This transaction particularly with its tax efficient win-win structure will enable shareholders of both companies to benefit from the significant upside opportunity of the new Olin. From a Dow perspective, the transaction will enable us to continue our drive to grow in our higher value markets as we continue to go narrower and deeper with our portfolio. And we will enable the new Olin to become a first year competitor across the chlorine on below. The follow-up on previous announcements, we expect to receive final regulatory clearance to close some innovation transaction in early May, we anticipate the deal will close officially, immediately following this final approval. Once the Dow Chlorine products transaction along with our ongoing JV consolidation and de-consolidation activities including our colleague, joint ventures as well as a few other smaller portfolio moves are in place, we’ll have completed our select out actions. Turning to Slide 16, as a result of these actions coupled with our targeted strategic growth investments, today Dow has the portfolio to better withstand volatility under most macro conditions. Over the last 10 years, we’ve been executing the significant portfolio shift with clear focus on delivering innovation driven growth, building in region leadership and targeted markets and driving more consistent performance, resulting in lower volatility and more predictable earnings. To further advance these efforts, we invested in a new ERP platform to more quickly and effectively respond to customers as well as providing end-to-end capability on a single instance across the globe. We completed the last phase of this implementation late last year. This powerful platform is also enabling us to remove costs that are made obsolete by our upgraded end-to-end platform. Recall at our Investor Day last fall – we committed to a new three-year $1 billion productivity drive. Our productivity efforts continue to center on cost out actions and doing more with the resources we have in place all to enable higher earnings. We’re making steady progress to deliver on this objective, as we remove $57 million of cost in the quarter and we’ll ramp to $300 million through the year. Our productivity focus also enabled us to produce the same volume year-over-year in the quarter despite more than $1 billion pounds of incremental capacity offline due to plan maintenance turnarounds versus Q1 of last year. We will make further announcements around the actions we’re taking in the coming quarters to deliver the $1 billion drive, so stay tuned. Looking ahead on Slide 17, our earnings performance coupled with our strengthened balance sheet and the growth catalyst that we have discussed provide us with confidence in our future cash flow. In the near-term, we expect our demand on cash to decrease as a result of three main factors. CapEx reverting to depreciation levels over the next three years. Reduction and pension expense associated with rising interest rates, as well as the conversion of our preferred shares. We also anticipate cash flow increases resulting for multiple drivers. The ramp up of our key catalyst Sadara in the U.S. Gulf Coast investments, which will have a collective $3 billion EBITDA run rate once fully operational. Our investments and innovation delivering 5,000 new products a year and driving higher margins, productivity, and of course, our operating leverage where every percent improvement in our operating rate adds approximately $200 million in annual EBITDA. And while we’re not counting on it, we do see an ethylene cyclical upside in front of us in the next few years. And finally, turning to Slide 18, with our earnings performance our strengthened balance sheet and the growth catalyst we discussed as well as our confidence in our future cash flow, I want to briefly recap our financial priorities. Drive further ongoing ROC improvement with a goal to return 3% above our cost of capital. Continue to enhance our capital structure and maintain our solid investment grade rating. Reward shareholders with a goal to remain in the range of our historical payout ratio of about 45% of our net income and continuing to invest for growth in our key markets through both the organic actions we have in motion as well as our ongoing JV consolidation and de-consolidation actions. In closing, that we emphasize the results we have been consistently delivering on the bottom line reflected delivered actions we have taken and we’ll continue to take. Our focus remains on execution to drive a continued focus on productivity measures and to continue to position Dow for growth as well as increased shareholder remuneration. With that Jack, let’s turn to Q&A.
Jack Broodo: Thank you, Howard. Now, we’ll move on to your questions. First however I would like to remind you that our comments regarding forward-looking statements and non-GAAP measures apply to both our prepared remarks and the following Q&A. Rochelle, would you please explain the Q&A procedure?
Operator: Thank you. [Operator Instructions] And our first question we’ll hear from David Begleiter with Deutsche Bank. David Begleiter Thank you. Good morning, first in performance plastics very strong Q1 but given the turnaround costs in Q2. Can you improve earnings in this segment sequentially in Q2 was that just too big of a hurdle given the turnaround costs? Andrew Liveris I’ll start that David, good morning. Look yes, performance plastics saw a lot of volatility in the quarter and clearly the moving on the inputs type of things turnarounds is the factor. The load on turnarounds is more evenly distributed this year. Q1 was actually higher than normal especially in performance plastics and performance materials. We are – we gave some guidance on that. But we believe that with input sort of stabilizing we should see good price momentum on performance plastics going into this quarter. We’re seeing decent demand, still good decent demand. Post Chinese New Year as lot of a restocking going on in China that we saw through the end of March going into April, May. So frankly with that pick up you saw our China numbers by the way we’re up 10% year-on-year. Latin America we had decent volume numbers, in fact we had a decent volume quarter in performance plastics despite all that volatility based on product mix. So look I would say there’s a smaller propane tailwind, but with price momentum. The turnaround factor shouldn’t be there as much as you are indicating in your question. Howard Ungerleider Yes, I would also say David just currency will likely be a higher headwind for us in the second quarter year-over-year and don’t forget Sadara costs will also be ramping. David Begleiter Understood. And just on Sadara, Andrew and Howard, what were the costs in Q1? And are we still on track for the full year $250 million headwind for Sadara? Andrew Liveris Yes. The short answer is we’re still on track that number is still valid, David. David Begleiter Thank you.
Operator: And next we’ll move on to Frank Mitsch with Wells Fargo Securities. Frank Mitsch Good morning, gentlemen. And thank you for the clarifications you’re expecting FX to be a higher hurdle in Q2 than Q1 what was the hurdle in Q1 in terms of bottom line and top line? Andrew Liveris Yes. It was about $600 million on the top line of price was currency and about a $160 million on the EBITDA line so around $0.10 EPS headwind. Congratulations on the Mets record, Frank. Frank Mitsch Thank you, thank you so much. We don’t want to talk about it too much in public, in fear of jinxing it, so… Howard Ungerleider I apologize. Frank Mitsch So one record announcement, congrats on a Q1 record in performance plastics as well. And then on just following up on currency, you seem to indicate the European demand seem to be getting a little bit better, can you expand upon that, please? Andrew Liveris What was the additive in front of demand, Frank. Frank Mitsch Seem to be getting a little bit better, if I read the release correctly and listened to what you were saying? Andrew Liveris Yes, absolutely. Like I indicated on CNBC this morning, going around the world, we see China demand, we see U.S. demand and both I would say good to strong for us, in terms of our product mix, remember targeted growth and then the beginnings of green shoots in Germany, The EU numbers weren’t too bad. Latin America is not great, but we’ve got good volumes down there. It’s a volume/margin story, this whole quarter for us, whether its plastics, or our mix, we’re maximizing margin, minimizing the effect of the volatility on inputs. Howard Ungerleider Yes, Frank, we saw nice growth in Dow automotive and Dow coatings in Europe as well. Just to give you some more color. Frank Mitsch Thank you so much.
Operator: And next we will move on to Bob Koort with Goldman Sachs. Brian Maguire Hey, good morning. It’s Brian Maguire on for Bob. Andrew, two quarters ago you said that lower oil would be a benefit for Dow, I guess we are seeing some of the signs of that, with the good volumes and better margins this quarter. But the oil moving backup, do you expect some of that benefit to go away or do you still see it being a pretty big net benefit for the company? Andrew Liveris Well, you know quite right in terms of what we said and also what we are seeing. At the end of the day we are not negatively impacted by low oil, rising oil price at the end of the day could be an indicator of global demand, which is positive for Dow. Consumer spending I think you have seen all the reports from all the consumer companies, it’s interesting to note that the U.S. consumer is actually pocketing most of the savings on gas and they are not spending more in terms of going to spend on consumables. They are spending little more on gasoline but I would tell you that still all small in front of us, in terms of low oil price demand. It really is our mix, with all the records we hit in the quarter, Dow automotive an all-time record, if you look at the electronic materials our first quarter record, or our energy and water business, our first quarter record, our polyurethanes business, our first quarter record. Our performance plastics, our first quarter record, it’s our mix. We have got the right products for this sort of growth in the demand environment around the world. Brian Maguire Okay, great. My follow-up, just the clarification when we heard you last on the Olin announcement, the chlor-alkali spin I think you mentioned that it would be accretive to EPS by about a nickel. Just clarifying is that inclusive of the ethylene deal that you signed with them and the kind of moratorium on share buybacks for the rest of this year? Howard Ungerleider Yes, definitely. It’s all-in. Brian Maguire Okay, great, thanks. Howard Ungerleider Thank you.
Operator: And next, we’ll move on to PJ Juvekar with Citi. PJ Juvekar Yes, hi, good morning. Andrew Liveris Good morning. PJ Juvekar And it seems like the speed with which oil prices declined, it was so rapid, that chemical prices haven’t adjusted fully. So you and couple other companies that have reported so far so big benefit. I’m wondering if you can quantify the raw material benefits and if you think that could reverse in the second half. Andrew Liveris Well, firstly, oil went down 49% versus same quarter last year. We’ve already talked about currency being a big headwind as well as the oil pricing effect. That accounted for most of our revenue decline. Holding on to price for us was less of a factor due to our differentiation. PJ, you should not see the Dow of old in our results. There is no way the Dow of old would have attained these results despite what you said about the lead/lag factor. As I said on CNBC morning that did not play into our results, our margin increases occurred in consumer businesses, in our infrastructure businesses and had nothing to do with raw material inputs. So I’d like to squash that notion on the call. This is all about sell out we ran, very reliably we produced same amount of pounds with all the turnarounds out there. We improved productivity, but we sold up. We sold up in all these differentiated businesses. PJ Juvekar Thank you. And then secondly, you talked about realizing value in your Ag business. Andrew Liveris Yes. PJ Juvekar In the next round of consolidation. But given all the headwinds in the Ag, do you think those actions are likely to come a little later than expected? Thank you. Andrew Liveris We’re investors in Ag, we’re investors in the Ag pipeline, we have been investing now for some years, actually about eight years. We’re in the middle of our biggest product launches ever, not just Enlist, the Enlist platform, but a whole range of crop protection products. Our range of seeds pipeline is very, very robust. We’ve always said we want that result to appear in our numbers going forwards, its beginning to appear. Our Ag results despite the weather conditions in the first quarter. As Howard indicated, our new product launches were up 7% year-on-year, in terms of revenue. So look, we want to see the full effect of that pipeline in the valuation of that business going forward, right now we’re investors.
Operator: And Mr. Juvekar, were you done with your questions? PJ Juvekar Yes, thank you. Andrew Liveris Thank you.
Operator: Thank you. Next, we’ll move onto Jeff Zekauskas with JP Morgan. Jeff Zekauskas Hi, good morning. Andrew Liveris Hi, Jeff. Jeff Zekauskas Hi. In your slides you said that your pension funding may come down over time. Can you quantify that at all? Andrew Liveris Yes, sure, Jeff, good morning. Pension funding issue is going to be around an $850 million headwind and about a similar expense for the year. We’re about our fully funded plans are about 80% funded today. But if you get a 100 basis point increase in the discount rate and one-year of expected return on the assets, we go to fully funded. So that would – that will take that 800 number down overtime pretty dramatically. It will take a few years to ramp down to that level because of the smoothing effect, but it will go down. Jeff Zekauskas Okay. And then secondly, your revenues were down about 15% in the quarter, but your SG&A costs were down 3.5%, and there is an emphasis on Dow on cost reduction. Are you satisfied with that number, or could you have done better? Or do you see SG&A is relatively high versus the sales decrease? Howard Ungerleider Well, as a CFO, I’ll say I’m never happy with our cost. I mean we always want to continue to drive our cost further down, but I’m pleased that we delivered what we expected we would deliver I mean we took out over $35 million of R&D and SG&A. We also if you look at our headcount overall we’re doing more with less. So there was another $22 million of lower costs through headcount that don’t flow through R&D and SG&A. So it’s not just in the R&D and SG&A line that we’re looking at our productivity. Andrew Liveris Yes. I mean the productivity is a never ending journey, Jeff, we’ve announced that $1 billion program over three years, we had movement in the quarter, Howard already spoke to it. So I won’t speak to the specifics in the quarter. But you should expect us to keep ramping that productivity number up, up on the same asset based or smaller and a lower cost footprint especially post-DCP carveout. Once we fold DCP into Olin, you should expect us to get rid of stranded costs. We’ll have a lot more to say about that in the coming weeks and months. But look, you should be thinking about assets focusing precious resources of growth market. And therefore, getting out of low-end, low-return businesses ROC and EVA is our driver. Jeff Zekauskas Okay. Thank you so much.
Operator: And we’ll now like to hear from John Roberts with UBS. John Roberts Good morning, nice quarter. Andrew Liveris Thanks and good morning, John. John Roberts A lot of your capital spending is very long cycle. I think the 2017 cracker project was started back in 2010. So you have to be thinking now about any projects that you want to start up, really post-2018. Are we set up for maybe three years of low startup activity and high cash flow after these startups? Or – I'm trying to reconcile that, that the oil/gas ratio is still relatively high and still would justify investment back into the shale gas play here in the U.S.? Andrew Liveris John, the tee up to your question is the relevant one. I mean, we made the decision to move forward on Texas 9 as we calling that cracker in 2011 both time frame, that plus the big Saudi project, which was done a littler earlier in 2010 or 2011 timeframe were kind of countercyclical investments geared to start up, as we view them at about the right time in demand cycle that’s going to come to pass, as we see in particular ethylene keeps in the 2016, 2018 timeframe. And not to mention the diversified product mix of Sadara is way beyond just plastics, it’s got a lot of performance materials and other downstream products in it. We believe the timing of that CapEx long cycle, as it is, is about right for the startups 2015 through 2017. You’re quite right then in your tee up we expect high cash flow yields in these next several years. We have the growth platform we need to grow, we’re maxing out on CapEx this year. As Howard said, we will be bringing that down to depreciation levels next several years. And we’re beginning to think in the out years of 2020 timeframe and beyond and we’re doing strategic reviews of that board of the next 12 to 18 months. But nothing announced nothing suggested in any of that Howard’s modeling guidance is the one to go with. John Roberts The preference to keep the mix of specialty basics or – I don't even know if you want to call it basics – but to keep performance plastics, let's say, as a segment in a certain range of the portfolio? Andrew Liveris Absolutely and remembering in the way you again teed up your question is helpful. When we are done with Sadara and the U.S. Gulf Coast investments when you fold in Canada and Argentina and all these other places, 70% of our ethylene footprint will be in top-decile, low jurisdictions. And so we’ll be low-cost not just on ethane and but associated NGLs like propane, maximum propane flex, and of course liquids crackers to take the balance in there, especially in Europe. So we have always got a view to envelope spending and making sure that the low-cost inputs are matched by the high value outputs. And I have said many times that specialties and the value-add – as you saw in the quarter plus low-cost inputs and key integration like ethylene and propylene is how Dow makes money twice and we can make money and also to conditions. So yes, emphasis on the envelopes we call them at Dow; some call it integration. Some German companies call it baubude [ph ]. We are not abandoning that. We are very, very committed to stay in low-cost in the envelopes and doing value-add on the output. John Roberts Okay thank you.
Operator: And Peter Butler with Glen Hill Investment, have our next question. Peter Butler Good morning, good morning. Andrew Liveris Good morning. Peter Butler Dow is obviously integrated from raw materials to finished products, and this means you have Dow people on the ground in each of the steps along the way. So this means that your management should know the – your management knows the management at your customers and you sort of compare this to some of your competitors who regard foreign sales pretty much as dumping commodity products through distributors. So does this – could you expand on this a little, on the advantages that you have with having people on the ground in each one of the steps from raw materials to finished products. And it seems like, when you listen to Dow, you guys seem to be a lot more confident in your forecast than your competitors. I presume that this is a function of you just having better relationships with your customers. Andrew Liveris Yes. Peter, the way we’re thinking about at Dow and Howard talked about the this next level of efficiency and productivity and how we go-to-market channel efficiency based on a new IT platform plus local representation that combination is being driving up to be very connected to where growth is. This growth is no longer uniform, you can’t do a peanut butter approach to growth, you can’t spread the peanut butter evenly. So like our China numbers indicated to your point, we only have out of roughly 3,500 people, only a dozen ex-pats in China. We’re local in China, our 500 scientists are local scientists. We know working with higher how to launch new products like PURINZE. PURINZE is the brand-new U.S. module that we are using for water, water purity in washing machines in China. Water purity in China is everything. And so working with them and directly working with higher, we can actually growth through our R&D present in China, we can do value add on what is an essence reverse osmosis are also filtration membrane. We have that sort of capability across the world. We’re leading that to the next level of activity right now as we speak, we believe we can actually take advantage of that, but being more decentralized. We’re introducing geographic profit and loss score card around the company right now. And we’re empowering our geographies to be much more attached to the customer front, to be as market led company with assets that we have around the world, you got to optimize the supply chain by going to where value is. So that’s how we do it, local, decentralized, market empowered people. Peter Butler Okay. A long time ago Ben Branch, one of your legendary CEOs, sat me down and said: You know, these specialties are playthings, he said. But put a couple of pennies on the price of polyethylene and I'll show you some real money. Through the years, has this changed today? And if so, how does Dow get the extra pennies? Andrew Liveris Well, we get the extra pennies; I mean the polyethylene Ben Branch comment is apropos to the performance plastics through the quarter. Because we have elastomers in the mix because we have ENT resin, because we have packaging resin, we get premiums on commodity polyethylene. So we can do the sell out, sell up strategy so it’s not an either/or. There was a time when you could look at either/or you can make money in one part by some technology another part by some low-cost. In today’s global competitive world there is no longer an option. Technology is ubiquitous. It gets licensed by everyone. State-owned enterprises enter the market they basically run for cash, they can commoditize any product line in a heartbeat. Innovation is now fast cycle so you’re going to keep innovating ahead of the commoditization trend by being local, to your previous question and then giving premiums based on the technology and then reinventing and cannibalizing your technology, okay before your competitor does. So, Ben Branch was right for the time today’s chemistry company has to be as nimble as an IT company. Peter Butler Okay. Well thanks for the help today. Andrew Liveris Thank you, Peter.
Operator: And we’ll move on to Vincent Andrews with Morgan Stanley. Vincent Andrews Thanks very much. Just a question on your coatings business. Many of the end-market coating customers have reported and have been talking about seeing different levels of cost benefits from the lower oil-based raws over time. So just wanted to get a sense of how that's going to affect you, given you obviously have a different place in the value chain in a different product suite. Are you starting to see benefits now? And where do you think you will hold on to them, and where might you have to pass them through? How should we just be thinking about the cadence over the balance of the year? Howard Ungerleider Yes, when you look at the Vincent, it's Howard. When you look at Infrastructure Solutions and you look specifically at the Dow coatings material and performance monomers I would say on the performance monomers side, acrylates, I referenced in some of the prepared remarks that we have, there is an acrylic monomer trough. So where we are a merchant seller of monomer – and we have been on a steady march to reduce that percentage and continue to upgrade the value of monomer into emulsion, preferentially in coatings, but also in building and construction and even in our packaging adhesives platform we’re seeing nice growth there. In specifically in Dow coatings, it’s really about broadening the participation in new market it’s continuing to work all parts of pyramid from an overall value standpoint and continue to gain traction on innovations, I mean our FORMASHIELD product is really starting to take off in China this is a formaldehyde abatement in China in Dow coatings. So that’s I would say we’re seeing nice margin gains, nice margin expansion in coatings but on the monomer side it will be, it will still be a tough go. Vincent Andrews Okay. Just as a follow-up, we noticed in the press release that you included – I think for the first time – what EPS would look like with the preferred shares converted. Is there a reason why you had to do that? I mean it obviously doesn’t impact the way we’re talking about the quarter today. But what caused that, if anything? Howard Ungerleider Yes, it’s a good problem to have, because it’s the earnings are higher. And we actually did it once before when we got the K-Dow award in 2012, sorry, 2013. But, when we reported because the earnings were higher with the divestitures on a GAAP basis, we had to assume that the preferred shares were in the capital structures. So you have to add about 97 million shares. If you take that 97 million out, that’s we get our actual share count at that time. Vincent Andrews Okay, thanks very much. I appreciate it. Howard Ungerleider Thank you.
Operator: [Operator Instructions] Next we’ll hear from Hassan Ahmed with Alembic Global. Hassan Ahmed Good morning, Andrew and Howard. Howard Ungerleider Good morning, Hassan. Hassan Ahmed You guys obviously touched in the presentation on the Sadara side of things; and obviously slowly it will ramp up through the course of this year, into next. My question is, the Saudi market has been really buoyant year-to-date; it’s up over 15% in anticipation of it opening up to foreign investors come mid-June, as I understand it. So could you give us an update on the IPO of Sadara? Because obviously this would be a great time for that IPO and should, in my mind at least, provide some valuation support to the broader Dow. Andrew Liveris Yes, so we obviously with our partner will decide that post-startup to the entire operation, Hassan. So the opening of the market is a good thing, but clearly, it won’t affect us until we are past all the start-ups which are post-2016. That’s the arrangement we had with Aramco, and that’s the one that we are going to keep. Look, it is a great signal. The Saudis are definitely looking at foreign investment. Sadara will be a great investment, because of the diversified investment away from oil and gas which is their strategy, not just the plants we are building but all the value downstream. Just to remind you, for those who have been down there with us last year, we have a very big value park with over 31 assets downstream, all little small assets that are new value-add. So Sadara will be an investment opportunity for the local market to really, frankly, reflect the kingdom’s diversification strategy. But it won’t be any time soon to answer your question.
Operator: And next we’ll move on to Don Carson with Susquehanna Financial. Don Carson Yes, thank you. Andrew, on the last call, you indicated that supply tightness was in your imminent future; and it appears, I guess, it was even more imminent than you thought. We’ve seen a real tightness in operating rates. So just wondering about your near-term view of the ethylene/polyethylene cycle. We’ve seen some rebound in demand. Is this really just restocking driven by a surge in oil prices? Or do you think that operating rates are tighter than most people other than Dow had really expected? Andrew Liveris Yes. So we saw some restocking end of the quarter, Don, to some extent; therefore there is a bit of a head-fake with respect to people anticipating oil prices going up. Now, look, depending on which pundit you believe, there is some upswell in oil price. Not huge, but there is some. So somewhere the back end of this year, into the next year, people are imagining prices will go up with that. But when you really drill down our numbers, as you have, it’s true demand. I mean if you really look at around the world, we are seeing true demand. Therefore it is foreshadowing with not a lot of supply, apart from a couple of plants coming back up – only one actually restart; not hardly any restarts out there to speak of – and then the new supply being what it is, then we start to see the whole industry upswelling in the 2016 time frame, maybe late this year, but certainly the beginnings of a cycle, a big cycle 2016/2017.
Operator: And we’ll move onto James Sheehan with SunTrust. James Sheehan Thank you. Good follow-on, that question. Could you comment on your current operating rates? I didn’t see it in your release this quarter. Andrew Liveris Yes. It’s 84%, right, Howard? Howard Ungerleider Yes, up about 1% versus the same quarter last year. Andrew Liveris With a high turn-around quarter in particular. Howard Ungerleider Yes.
Operator: And we’ll move onto Kevin McCarthy with Bank of America. Kevin McCarthy Yes, good morning. Andrew, would you comment on the cost as well as the timing of your U.S. Gulf Coast projects and how each of those might be trending versus your original expectations, please? Andrew Liveris Yes. Look, timing, no change. We are on schedule with all of our projects. Of course, I think the earlier question on the big Texas cracker, 2017, early 2017 startup. No change to the budget. Everything going according to our financial plans that we’ve announced to all of you. And we showed you on our Investor Day some very specific details on that. No change to that, if you go back to that slide. PDH, we are quite excited. It was on track for a mid-2015 startup, and that will have a material effect on our run rate to EBITDA on our propylene derivatives. Construction there is over 85% complete, also within budget. And all of their other projects that we’ve announced, the incremental ones, also doing just fine budget and timing-wise. I would tell you that the low oil price and the effect on LNG plants and what might happen out there, you are starting to see that on the Gulf Coast. So that’s a good thing. So you know, you’re not seeing the huge upswell that many of you were asking about last year.
Operator: And we’ll move onto Alex Yefremov with Nomura securities. Alex Yefremov Hi, everyone. I wanted to ask a question on Dow Electronics. You mentioned several new products. Could you describe the sales opportunity in OLED and films? Also, where are you in the product cycle across various product lines within Dow Electronics? Thank you. Howard Ungerleider Yes, Alex, hi, good morning. This is Howard. We had a nice wins on the CMP side both on the pad and slurry at some major Asian foundry customers. We also had a lithography win at a major customer in Asia. And in Korea – I won't go into more specifics in that, but a nice OLED win for a flagship smartphone, if I could share that with you. And then also, on the optical film side we had a win at a major display customer for their flagship model as well.
Operator: Next we move on to Arun Viswanathan with RBC Capital Markets. Arun Viswanathan Thanks, guys. I just wanted to understand your comments a little bit earlier on the second quarter with regards to Plastics. You had a price increase in March that was announced in polyethylene. You reiterated that increase in May. What gives you the confidence now that you could achieve that pricing going forward? Thanks. Andrew Liveris Well, so our plastics business through the quarter was, as you saw, struggling on the price side. We believe prices have bottomed in North America and Europe. The first quarter average we'll see an upswell from that from the second quarter based on you had a very minimum small price increase. Inventories are low in North America and heading into a peak demand season, and the previous question I think that Don asked was on the operating rates we see higher operating rates of 90% especially here in North America plus our premium pricing. Howard, do you want to add? Howard Ungerleider No, as an old pellet head myself, you covered it well.
Operator: Next we move on to Duffy Fischer with Barclays. Duffy Fischer Yes, good morning, fellows. Howard Ungerleider Good morning, Duffy. Duffy Fischer I wanted to go back to some of the issues you are seeing in the acrylic acid chain. With the recent history of the epichlorohydrin commoditizing and taking down what was the specialty epoxy business for you, where is the confidence level? Or why do you think something akin to that doesn't happen in the acrylic acid chain and then into some of its derivatives? If you could use that to compare and contrast. Andrew Liveris A long history of knowing a lot about the acrylic business, I won't take you through all the history. But Dow about share was in the business back in the 60s and 70s. Very complicated chemistry versus anything in the epoxy chain. Whether it's the monomer itself, both glacial and crystal acrylic acid. And also all the various derivatives formethyl methacrylates in particular. You really have some Japanese houses that know how to do it, and then you have a couple of European and then you have Dow and maybe one or two other smaller companies. But that means that, you know – and not much cross-licensing and very difficult destructs, large waste issues that has to be managed. The barrier entry is much, much different than you would expect on the epoxy chain.
Operator: And our final question today will hear from John McNulty with Credit Suisse. John McNulty Yes, good morning. Thanks for taking my question. Howard Ungerleider Good morning, John. John McNulty Question on the Ag business or maybe a couple of them just bundled together. As far as what your – can you give us a little bit of an update as to what you are seeing in terms of Latin America? You said there that you actually had a pretty positive outlook, but there were some economic headwinds you were concerned about. How do you think that weighs on the Ag chem side? And then in Western Europe, like with the weather issues, are you going to get the bulk of what you missed this quarter back in 2Q, or is some of that lost? And how should we think about that? Thank you. Howard Ungerleider Yes, specifically on your Latin America questions, I mean recent good crop harvests, we do have high level of distributor inventories and I would say generally positive outlook but certainly concerns from an economic standpoint and I would throw currency certainly in the mix as well. Specific to Dow, a reference in the prepared remarks about the acquisition of Coodetec. That happened in the quarter, and that's going to give us an avenue not only on Enlist and soy, but also on crop protection products in with the cooperatives, which is an area we have been weaker on and we’re looking to strengthen that capability. And I would say overall, we expect seeds to do volume gains in corn and soy and canola and our forage portfolio as well. Andrew Liveris Yes, I mean just to follow on, from a whole year point of view we'll be flat excluding currency and we'll be down a little bit including currency, single digits. But the big plus is margins continue to go up of sales of new products. Dow AgroScience is a new product story in crop protection as well as seeds. And I think people have to keep noting that we've become a crop protection R&D power house with the new molecule launches, and those new molecule launches our expanding margin for the company. Obviously, Ag is going to be a bigger, bigger part of the company. And you are starting to see that effect on the Ag business in terms of its margin increase.
Operator: There are no further questions. I would like to turn the call back over to Mr. Broodo for any additional or closing remarks.
Jack Broodo: Thank you, everyone, for your questions today. Andrew, would you like to make a few final comments?
Andrew Liveris: Yes, Jack, thank you, I would. Look, I've said many times 2005 is a pivotal year for the company. We have the big start-ups of Sadara later this year our PDH unit in Texas as well as our launches of new products. Not just in agricultural sciences. We had over 5,000 new products launched last year, as we said in our press release. We have one after – 2015 is going to be a year of lots of product launches, and I’ve mentioned some of them. We’ve talked about, for example, that washing machine example I used and that ultrafiltration membrane. You can expect us to continue to be an innovation story and to deliver on our commitments. We have delivered on our commitments on earnings; now 10 straight quarters of year-on-year beat, six straight – earnings growth, six straight quarters of earnings beat. We’ve delivered on our divestment commitment. We’ve delivered on our shareholder remuneration story, and we will continue to do that. We’ve delivered on the Dow Chlorine product transaction that will close later this year, a very compelling transaction for that business and a very big plus for Olin. You’ve heard us talk about self-help. We created a portfolio over many years that can handle all sorts of conditions. We execute against the targets that we set over many years, and we execute quarter-after-quarter. This is no way the commodity-driven Dow Chemical of a year-ago could have delivered this type of performance with the 49% drop in oil and an 18% currency headwind. The 10 year-ago number has now been matched in these conditions by the portfolio we’ve created. Our margins are back to where they were in 2005. This is the performance we’ve been after for a longtime. We’ve done at the last few quarters, many quarters in a row. There is no gap in the say-and-do ratio here at Dow. We are building a company that can grow under all macro conditions. Thank you for listening and back to you Jack.
Jack Broodo: Thank you, Andrew. As always we appreciate your interest in Dow Chemical Company. You reference a copy of our prepared comments we posted on Dow’s website later today. This concludes our call for today. We look forward to speaking with you again soon.
Operator: And that will conclude today’s call. We thank you for your participation.